Operator: Good evening, and welcome to the Everbridge, Inc. First Quarter 2022 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Patrick Brickley, Chief Financial Officer and co-CEO of Everbridge, Inc. Please go ahead, sir.
Patrick Brickley: Thank you. Good afternoon, and welcome to Everbridge's earnings conference call for the first quarter of 2022. This is Patrick Brickley, Executive Vice President and Chief Financial Officer and Interim co-CEO. With me on today's call is Vernon Irvin, Executive Vice President, Chief Revenue Officer and Interim co-CEO. After the market closed, we issued our earnings release, which can be accessed on the Investor Relations section of our website at ir.everbridge.com. This call is being recorded and a replay of the teleconference will be available on our IR website at the conclusion of today's event. During today's call, we will make forward-looking statements regarding future events or the financial performance of the company that involve certain risks and uncertainties. The company's actual results may differ materially from the projections described in such statements. Factors that might cause such differences include, but are not limited to, those discussed in our Forms 10-Q and 10-K as well as other subsequent filings with the SEC. Information provided on this call reflects our perspective only as of today and should not be considered representative of our views as of any subsequent date. We explicitly disclaim any obligation to update any forward-looking statements or our outlook. Also during today's call, we will refer to certain non-GAAP financial measures. A reconciliation of our GAAP to non-GAAP financial measures is included in our press release. On today's call, Vernon will review our business highlights, and I will provide more details on the financial results and outlook. And then we will open up the call to Q&A. With that, let me turn the call over to Vernon.
Vernon Irvin: Thank you, Patrick, and thanks to all of you for joining us today. Looking at first quarter, we delivered solid results that exceeded the high end of our guidance in revenue and profitability. Revenue of $100.4 million, which represents an increase of 22% from a year ago, and adjusted EBITDA was $2.6 million. The results serve as a positive indication, which validate our strategy to better focus and align our organization to meet the multibillion-dollar opportunity we are pursuing. To quickly recap last quarter, we outlined three strategic actions that we are taking to significantly simplify our go-to-market process and drive higher productivity, enhance sustainable growth over time. First, we simplify our product offerings moving from several dozen individual point products to focus on four strategic CEM bundles, each targeting a specific buyer persona with an unique and differentiated technology solutions. These four pillars are CEM for digital operations, CEM for business operations, CEM for people resilience and CEM for smart security. We believe this will both simplify buying choices for our customers and simplify and streamline our sales processes for our team. Second, in the public warning market, we are continuing to leverage our industry-leading win rates to drive land and expand opportunities as well as applying increased focus towards driving network effects that multiply the opportunity inside a region once we start to penetrate it. We have over 6,000 private and public warning customers. There is a significant opportunity here to sell into our broader CEM suite. And third, we are posting material new M&A and a stead prioritizing development efforts to focus on accelerating product integrations across our existing acquired assets. In addition, as Patrick will discuss in greater depth, today, we are announcing that our Board and management team have implemented a plan strategically realign our resources in order to accelerate and grow our investments in our largest growth opportunities while making our operations more efficient. We anticipate this will both produce material improvements in profitability and support sustainable growth. During the quarter, we saw early evidence that our focus on strategic realignment is resonating with our customers, which validates our strategy and gives us increased confidence as we continue to execute on our plans. We also saw positive traction with our partners evidenced by an increase in the mix of our deals, which came through partnerships. Our partners have responded well to our simplification strategy, and we're helping to drive high velocity deals. During the quarter, resiliency and business continuity remain top of mind for our Global 2000 organizations. The ongoing effects of the COVID-19 pandemic and the impacts on both natural and man-made critical events, such as natural disasters and cyberattacks, are causing organizations globally to evaluate their business continuity plans and accelerate their response to disruptions. Of course, recently, the unfortunate events in the Ukraine have been at the forefront of the world's news, and we are honored to be able to help customers in impacted areas by providing risk intelligence and other technologies to protect their people and assets. With this backdrop in the first quarter, we continue to see strong demand for interest in critical event management and public safety technology, as evidenced by healthy year-over-year growth in our trailing 12-month ASP and the number of deals larger than $100,000. Let me now turn to some examples from the first quarter that illustrates the demand we are seeing for our critical event management and public safety. For CEM, we closed 12 new growth deals around the world in the quarter. In particular, we landed a number of deals which illustrate the four strategic solutions we identified as focus areas. For example, CEM for digital operations solves for IT incidents and cybersecurity problems across both digital and physical assets. During the quarter, one of the world's largest credit card processors expanded its use of Everbridge digital operations product in platform across an entire enterprise, providing resiliency for its IT and operations, along with visibility at the company's CTO level. Before Everbridge, they relied on a variety of unintegrated tools, which led to errors and inefficient manual effort. With CEM for digital operations, they are able to streamline data flow and insights across their tool sets, producing valuable efficiency gains. This significant growth deal in Q1 continues to reinforce the value of our xMatters integration into our suite of products. CEM for business operations includes E911 and travel risk components to focus on enterprise resilience for chief risk officers. During the quarter, we expanded our relationship with Kyndryl, a spin-off of IBM's infrastructure service business that designs, builds, manages and develops large-scale information systems. Kyndryl selected Everbridge over our competitors do to drive operational improvements. For example, we estimate Everbridge will reduce their mean time to communicate during critical events by over 80% and drive operational efficiencies of at least $5 million over three years. Also, Harbor Freight Tools, a leading tool in the equipment retailer headquartered in California expanded to CEM in the quarter. As a current Everbridge Mass Notification customer, Harbor Freight Tools upgraded to their CEM business operation solutions package to enable enterprise resilience. The single pane of glass offering that CEM affords them the biggest driving force behind their selection of Everbridge. Our factors include the full automation of notifying their contacts in stores when they are in harm's way of danger, weather and other situations and the ability to give their internal team's eyes on safety and operational situations immediately. Additionally, we expanded our CEM offer for one of the five largest banks in the United States, and we are honored to now provide them with CEM for safety and continuity as well as a crisis management capability. They chose Everbridge due to the breadth of our CEM platform and its ability to handle all aspects of dealing with critical events via a single platform as well as the ability to scale to the needs of a large organization. CEM for people resilience serves the needs of chief security officers and their duty of care concerns for on-site, remote and field employees. In Q1, we're excited to have won a new deal with Sarjon one of the largest open pit coal export mining operations in the world. This deal that was won with one of our strategic partners control risk, demonstrating the effectiveness of our partners and extending our reach. Sarjon was looking for - looking to protect their corporate and mining personnel, and it chose Everbridge due to the completeness of our platform in our local presence in Latin America. This is the first time CEM deal in Latin America, and we are optimistic that we will be able to open up many, many more opportunities for us in that region. And lastly, CEM for smart security helps CIOs and CISOs secure government and enterprise IoT assets to protect their people and facilities. During the quarter, we entered into a contract to support the Saudi Arabia's future plan Smart City named Neon. The deal leveraged our smart security capabilities to keep Saudi Arabia residents, visitors and assets safe in the face of potential threats. This was aided by the network effects of having already won Saudi Arabia's countrywide public warning system. Turning to public safety market, we continue to leverage our industry-leading win rates to drive land and expand opportunities as well as to apply increased focus towards driving network effects that multiply the opportunity inside of the region once we start to penetrate it. For example, during our quarter - during the quarter, two of the largest mobile network operators in Germany selected Everbridge to deliver their sell broadcast emergency and learning capabilities to power the German government's nationwide public warning system. Wide-scale flooding in Western Germany in July of 2021 was the major trigger for Germany to implement our cell broadcasting technology to reach entire populations across Germany and will serve as an enhancement to the country's emergency response. Everbridge now powers the national public warning system for nine European countries and over 20 governments worldwide more than any other provider. In India, the network effects from Public Warning contracts in four states led to the fifth state win during the quarter with the government of Maharashtra, the second most populous state in India. The State of Maharashtra was looking for a public safety incident response system to manage critical events and disasters such as cyclones, which regularly strike the Indian coast. And Maharashtra chose Everbridge to provide that platform. And thirdly, the city and county of Denver, Colorado added Everbridge's resident connection feature to its Mass Notification system to maximize the reach of critical citizen alerts, allowing public safety officials to notify a higher percentage of their residents in the event of public health risk and disasters such as wildfires. Everbridge already serves more than 150 customers across the State of California. And this deal is an additional demonstration of successful network effects of our solution in the State of Colorado. These examples of powerful network fix illustrate why we remain optimistic that we can expand our public safety business globally and driving enormous strategic value from it. We remain confident that we will see a continuation of our high win rates for key public warning opportunities. And just as, if not more importantly, we'll continue to benefit from network effect opportunities that expand our global presence in Europe and around the globe. During the quarter, we also are pleased that Everbridge was recognized by Frost & Sullivan for its innovative leadership by earning top spot in the Frost radar, command and control software for critical national infrastructure, or C&I. Airports and safe cities global for 2021, according to Frost & Sullivan, global command and control software spending for airports, safe cities and the C&I market will reach $5.37 billion in 2030. And a selected Everbridge is a market-leading innovator in the market. Viewed as a whole, we believe these notable customer wins and industry recognition serve as affirmation of artists and simplify our products and go-to-market and to pivot our four strategic CEM bundles. Turning to some specific business metrics for the quarter, we added 89 net new enterprise customers in the first quarter, ending the quarter with 6,224 enterprise customers. The decline in net adds from the trend - recent trends was anticipated as we begin to wind down noncore applications, with approximately 45 existing customers choosing not to renew or noncore applications during the quarter. As I mentioned, 12 customers either selected or expanded to our CEM platform, bringing a number of CEM customers to 204. That's up 47% from a year ago. Our momentum with large transactions this year continue in Q1, resulting in trailing 12-month ASPs that were a gain above $100,000. Contributing to this ASP growth was 56 deals worth more than $100,000 per year, up from 45 deals a year ago. From a product mix perspective, 67% of the new gross sales over the last four quarters came from CEM-related solutions beyond simply our core Mass Notification. Our international revenue mix was 28% in the quarter, and we continue to expand in every major region of the world. Our revenue mix by vertical remains relatively consistent was 69% from our corporate, 23% from local, state and government - countrywide governments and 8% from health care, reflecting a strong growth in corporate markets with an increasing post-vaccine use cases. As always, we remind you that quarterly metrics can fluctuate, but that the longer-term trends continue to reflect our overall business growth. Another focus area this year is realizing the leverage that is inherent in our business model. Our first quarter results with positive adjusted EBITDA and that exceeded our guidance range is the sample of this. We are optimistic that our strategic realignment of resources will drive attractive growth of sustainable revenue while yielding adjusted EBITDA margins that will reach double digits by the year-end and which will continue to grow. Looking ahead, we are encouraged that we are seeing a return to more face-to-face meetings as we emerge from COVID-19 pandemic. We remain confident that our bundle solutions, which offer a path for growing levels of engagement can make it easier for existing customers to expand with their CEM bundles over time demonstrating the effectiveness of our land and expand strategy. We are optimistic that strong industry tailwinds, signs of customer reengagement and our simplified strategy should translate to further opportunities as demonstrated by our guidance increase. Overall, we delivered solid first quarter financial results, driven by continued success of our core strategic market of CEM. We believe the actions we have taken to pause material M&A and to streamline, integrate and reduce complexity will drive attractive, sustainable revenue growth with a meaningful increase in profitability and positive cash flow. Now allow me to turn the call over to Patrick for more details on our financial results as well as our guidance for Q2 and for 2022. Patrick, over to you.
Patrick Brickley: Thanks, Vernon. I'm pleased to see strong execution that produced revenue and adjusted EBITDA that were above our guidance ranges. Revenue in the first quarter was $100.4 million, up 22% from a year ago. Our net retention rate continues to track at or above 110%, reflecting continued customer satisfaction, combined with demand for additional Everbridge technology to expand within the existing customer base. As we have previously discussed, as we deemphasize noncore technology products, we may see a small impact on gross retention this year, but we expect the impact to normalize by next year. Looking at the details of our P&L, unless otherwise indicated, I will be discussing income statement metrics on a non-GAAP basis. A reconciliation of GAAP to non-GAAP measures has been provided in the earnings release we issued earlier today. Gross margin was 72.2% compared to 73.6% a year ago, with efficiencies from greater scale, offset by the short-term impact of acquisition integration costs. Total operating expenses in the quarter were $74.1 million, an increase of 27% from a year ago, reflecting continued investments in our platform and our go-to-market strategy as well as the expense of impact from acquisitions made in the past 12 months. Adjusted EBITDA was $2.6 million, marking our eighth consecutive quarter of positive adjusted EBITDA and coming in at well above the high end of our guidance range, due primarily to the revenue upside in the quarter and operating leverage in our model. Net loss in the first quarter was $0.6 million or $0.02 per diluted share compared to net income of $8 million or $0.18 per share a year ago. On a GAAP basis, our net loss was $19.1 million. Our balance sheet continues to be very healthy. We ended Q1 with $495 million in cash, cash equivalents and restricted cash with our nearest debt maturity at the end of 2024. Operating cash flow was an inflow of $7.7 million, and free cash flow was an inflow of $1.5 million. Total deferred revenue was $245.8 million at the end of the quarter, an increase of 33% from a year ago. As we note every quarter, our deferred revenue balance at the end of any given quarter can vary due to a number of factors, including the timing of significant new contracts and the timing of annual billings for new and existing customers. As such, the change in deferred revenue in any given quarter is not an accurate indicator of the underlying momentum in our business. We believe our trailing 12-month performance is much more indicative of our overall business trends and that our longer-term performance continues to support our growth objectives. Now I'll turn to our guidance for the second quarter and full year. As Vernon mentioned, today, we are disclosing that our Board of Directors has approved a program to strategically realign our resources in order to accelerate our investments in our largest growth opportunities while making our operations more efficient. This program supports the 2022 strategic initiatives to simplify our business and accelerate the integration of recent acquisitions and will help drive our financial objectives of sustainable growth, combined with improved profitability and cash flow. The details of this program include a targeted realignment and reduction of headcount facilities and other third-party spend. Further details are provided in the 8-K, which we filed today after market close. While many of the actions within this program will take immediate effect, some of them will carry into 2023. We anticipate that these actions will drive annualized savings of between $13 million and $18 million with near-term charges of $13 million to $21 million. The positive financial impact of these actions is reflected in our guidance for the second quarter and full year. For the second quarter, we anticipate revenue of between $101.8 million and $102.2 million, representing growth of 17% to 18% year-over-year. Adjusted EBITDA will be between negative $1 million and breakeven, and we anticipate a non-GAAP net loss of between $5.2 million and $4.2 million or a loss of between $0.13 and $0.11 per share. Our full year guidance reflects our first quarter outperformance and our continued business momentum. We now anticipate revenue to be in the range of $428.2 million to $432.8 million, representing growth of 16% to 17%. We anticipate adjusted EBITDA will be in the range of $33.5 million to $35.5 million, representing an adjusted EBITDA margin of 8%. We expect non-GAAP net income of between $10.7 million and $12.7 million or between $0.23 and $0.27 per share based on 47 million diluted weighted average shares outstanding. In summary, we delivered a strong performance in the first quarter. As we progress through 2022, we are very focused on execution, driving sustainable growth and maximizing return on our investments. Looking further, we believe we can deliver sustainable top line growth with improving profitability and positive cash flow, which can generate significant long-term value for all of our stakeholders. Now, operator, we are ready to open the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Matt Stotler with William Blair. Please go ahead, sir.
Matthew Stotler: Thank you for taking the questions. I guess first one just on the, I guess, the strategic initiatives, obviously, this strategic alignment. Would like to get some more color on the time line for, I guess, the broader initiatives you have going on, right? I think you just said that for the alignment you just noted, you'll have some of that falling through this year, some of that falling through in 2023. But we look to maybe just expand on that a little bit and maybe get some update on - from the broader perspective on rationalizing the product portfolio and you do bundles. Obviously, it sounds like you're already in the market selling with these new bundles and some capacity. But we think about, I guess, ramping the sales force internally tool productivity with this new structure as well as enabling partners with this new structure. What's the remaining time line on that side as well?
Patrick Brickley: Sure. Thanks, Matt. Vernon and I will probably tag team this one. I'll jump in with regards to the strategic alignment. We've already kicked off the program. So we're already beginning to incur costs, and you'll see that in our earnings release and the details of our guidance. And it's a combination of heads and facilities and some additional spend that we're taking out of the business, and it's in line with what we said we were going to do back in February when we said that we were simplifying the business, simplifying our go-to-market, bundling our products, deemphasizing noncore products. This is really just an execution steps along the way where we've sorted out a number of details and now we're taking actions on a number of things. So costs have already begun. They'll continue into next year and the annualized savings from those we anticipate will be anywhere from $15 million to $18 million. And Vernon, I'll hand it over to you, I guess, about the sort of the top line outlook or progress on these strategic initiatives.
Vernon Irvin: Yes. Thank you, Patrick. Matt, as we talked about in the prepared remarks, there are four core CEM bundles, business operations, people resilience, digital operations and smart security. As you astutely commented, we have three customer journey bundles that reside under each of the product solutions. And so an existing customer, call it a Mass Notification customer can also add risk - our risks and our capability and now being an essential level customer, for instance, for business operations. But the way the bundles are built, they can very simply be able to graduate for up to CEM for safety and continuity and add, for instance, better employee communications to that bundle all the way up to a full set of solutions to help with risk alert critical communications, true SoC capability. So we've made it. We really have simplified our go-to-market. That particular bundle around business operation is ideally suited for a risk manager or COO organization. So now there is, again, a tiered structure to be able to graduate from a basic in customer all the way up to full CEM. And as we noted earlier, we've got over 6,000 customers, of which a significant percentage of them are enterprise customers that we can now land and expand and grow, largely the work that we did late last year at the beginning of this year around the bundles and around the solutions we put in the marketplace, that work is completed. The solutions are in the marketplace, leveraging some of our core solutions. So that's sort of the momentum that we're starting to see that I spoke about in my prepared comments.
Matthew Stotler: That's very helpful. Thank you for color. And then I guess just a quick follow-up. You mentioned control risks as a partner that was involved in one of those wins. We'd love to get a broader update on the, I guess, the partner ecosystem in general, right? And I guess the expansion initiatives you have there, how that layers into the strategic priorities that you're working through? And I guess, how the - I guess, rethinking of the portfolio in terms of bundles is impacting those conversations if that's resonating with the partner ecosystem at this point?
Vernon Irvin: Yes. Patrick, I'll take that one, if you don't mind. Partner infrastructure and ecosystem we've put in place also in the case of Sarjon that we announced in the prepared remarks in Latin America was ideally suited because it was a - one of our CEM bundles that we partnered there with control risk. So control risk is a partner that we signed over a year ago had a significant presence there in the marketplace. And as I said in our prepared remarks, they have - we have a dedicated staff of engineers and sales team that are based in Latin America, partnering with the folks at control risk, we're able to go in and help them - control risk provides the necessary infrastructure and strategy for NOx, GSO, that's sort thing. But it's our applications and solutions that sort of power those things for those GSOx. And so it's a combination of being able to work with them on a go-to-market perspective with their reach around their consultative solutions. But the Everbridge - CEM applications is a nice sort of one to approach to that particular marketplace. You think about partnerships with PricewaterhouseCoopers or Deloitte, it's same principle sort of how do you leverage the relationships at some of these particular strategic partners, whether it be alliances or SIs in the marketplace, either for IT or for people resilience, but don't have, if you will, the software platform to help accelerate the pace that our customers need in terms of responding to duty of care for their employees and managing the assets. And so the consultative approach managed with our capabilities and ASPs and working directly with our direct sales team is, I think, another thing that we can attribute to some of the momentum.
Operator: [Operator Instructions] Our next question comes from the line of Ryan MacWilliams with Barclays. Please go ahead, sir.
Ryan MacWilliams: The same question. Just on the lower net new customer adds compared to historical quarters in this first quarter, were wins in your core business in line with past quarters? And in particular, were there any specific noncore applications that contributed to the bulk of the 45 existing customers doing?
Patrick Brickley: Yes, at a high level - Ryan, at a high level, as Vernon mentioned, it was about 45 customers on a single noncore platform that shows not to renew. So you add that back to us on average around $3,000 a year, a result of an acquisition that we did a number of years ago. And that was an acquisition that came with great core technology and customers and talent, and we've integrated what we want to from that and we're deemphasizing sort of the rest of what came with that acquisition. And we're doing that sort of across the board in line with what we said back in February that we'd be doing. So you should anticipate to see a little bit more of this. But as it happens, we'll call it out for you.
Ryan MacWilliams: Thanks for the color. And then just like for an update on the potential CEO search, like is there a way to think about maybe where we are in that process? Or has any thinking involved there? Just appreciate some more help. Thanks.
Patrick Brickley: You want to take that, Vernon?
Vernon Irvin: Sure. I'm more than happy to take that one. Ryan, thanks for the question. As we stated the last quarter, there is a CEO - an active CEO search that is ongoing, and we have selected in the first quarter. our search organization, it's focused on SaaS-based technology CEOs, and we are working through that process with a number of candidates. I think we also referenced that both Patrick and I are candidates for - from an internal role perspective. Our Board of Directors are sort of managing that process, and we'll continue to report progress as we make it. But that is still an ongoing process, Ryan.
Operator: Our next question comes from the line of Scott Berg with Needham. Please go ahead.
Scott Berg: Thanks for taking my questions here. I've got two. Patrick, I wanted to see if you can help us with, I guess, the math around the strategic alignments? Your adjusted EBITDA guidance is effectively unchanged for the year, but you're already starting to move forward with some of these initiatives. I guess were these already built into your guidance at the beginning of the year? Or are they not going to be onetime out? How should we think about deploying through? Because I would have figured that we'd start to see some of those savings and maybe an improvement on the adjusted EBITDA right away if you're starting that right away. Thanks.
Patrick Brickley: Yes, it was effectively - thanks for the question, Scott. It was effectively reflected in our original guidance and just over the past couple of months, we've showed up the details and we're executing on it.
Scott Berg: Thank you. And then from a - probably a question for Vernon Irvin. You talked about - I think you mentioned the higher mix of deals through partners in the quarter. I guess, is there any commonality or similarity between the deals that you're able to drive through partners in the current quarter? And is that something you feel that can be repeatable going forward?
Vernon Irvin: Yes. I think we - in previous reviews, discussed that. We think the partner or indirect strategy is an important part of our business. And so I think simplification of the bundles is resonating very well with our customers and with our partners. So we should expect to see continued involvement with our partners around the four bundles, business operations, people resilience and digital operations and smart security. I think the partner strategy is early, but showing evidence that, again, the simplification of the integration work that Patrick and I talked about last quarter is starting to get some momentum.
Operator: Our next question comes from the line of Terry Tillman with Truist. Please go ahead.
Joe Meares: This is Joe Meares on for Terry. Just wondering if there's been any change in the last 90 days in either the contraction of international public warning contract sizes or the elongated implementation times you spoke about or time lines still elongating, stable or coming in?
Patrick Brickley: This is Patrick. I'll jump in on that one. We're still seeing similar market conditions, whether that's pricing compression or timing to implement. This is a really strategic opportunity for us. We anticipate that we'll continue to win more than our fair share of deals. We're really excited about the two wins in Germany and look forward to building on that within Germany and landing more and more business. And we have not explicitly put that win into our guidance for the back half of the year because it's - the delivery time lines on these projects are still unpredictable.
Joe Meares: That's really helpful. I appreciate it. And then just as a follow-up. With the continuing rebound in business travel, I'm wondering if the outlook for the business has improved over the last 90 days? And if you're seeing any benefits from CEM suite deals there? Thanks so much.
Patrick Brickley: Yes. Maybe we'll tag team this one. We - Anvil is an important new part of the business, very strategic for us. Travel risk management is something that our customers have asked us for and certainly return to business travel will be - will help that business grow. And Vernon can talk about the trends in that. In Q1, we were excited and honored as Vernon described earlier, to be able to leverage travel risk management to assist a number of our customers who had people or assets in Ukraine and help them evaluate those people and/or assets. And we think that's a proof point for customers wanting multiple different capabilities from one vendor on one platform. And so we look forward to continuing to pursue that strategy. But Vernon, anything else to add there?
Vernon Irvin: Yes. Patrick, the only thing I would add is, we think that the travel risk business is - I think, as you pointed out, Joe, will benefit from a company starting to travel again. We think about travel risk management as part of the Everbridge people resilience solution and ideally fit for CHRO, CSOs. And one of the things that we are working on rapidly here is further integration of the TRM - Anvil TRM capability aligning it as part of the bundles that's inside of the people resilience. And as that integration work, completed, our people resilience bundle gets stronger, allowing a single pane of glass and the integration of obviously TRM, but more specifically, being able to make sure we can protect employees that are traveling. So we're making good progress there and more to come.
Operator: Our next question comes from the line of Brian Peterson with Raymond James. Please go ahead.
Brian Peterson: Well, hi, thanks for taking the question. So Patrick or Vernon, I just wanted to clarify on some of the changes. I know the international opportunity has been big for you. I'm curious, how much of the changes on the go-to-market side are kind of domestic versus international? I just want to get some clarity there. And how does the partner channel really kind of fit into that maybe domestic versus international?
Vernon Irvin: I'll take a run at the public warning question and the partnership part of that question. The win in Maharashtra that we spoke about and the German win both had partners that assisted in both those deals. So the partner strategy is very active as it relates to Public Warning in those major country wins. And our partner strategy is a global partner strategy. In fact, as I mentioned, the surgeon win in Latin America was with control risk in Latin America. But we are starting to see that activity pick up as well here in the, what I call, the Americas, particularly in North America or the U.S. So we've seen early evidence that the strategy is working, and we can point to examples of that in the Latin American announcement we made as well as the two public warning wins that we had in Germany and India. As I said, I think we'll see some favorable news that we're working on here in the United States as well. But it's a global strategy and it's early, and we're going to continue to take full advantage of that.
Brian Peterson: Thanks. And maybe, Patrick, just a follow-up for you on retention. I know you mentioned some noncore customers that kind of moved off. I'm curious, how has the core customer retention compared versus your expectations so far this year?
Patrick Brickley: Thanks, Brian. It's been in its usual range. We have had some isolated attrition, which we had mentioned back in February that we anticipate seeing within the core. But otherwise, our customers have expressed to us enthusiasm that we're really focusing on integrating the acquisition so that we can help them continue to adopt and expand and deliver more value to them while we pause future material M&A. So customers are liking this. We remain very sticky, and that should help us continue to propel our ability to expand into the base as we simplify the bundles and the go-to-market strategy.
Operator: Our next question comes from the line of Michael Turrin with Wells Fargo. Please go ahead.
Michael Berg: This is Michael Berg on from Michael Turrin team. I want to double-click on the strategic initiatives once again, not to belabor the point, but with the company taking out a number of costs both in the short term and long term, how can we think about levels of durable growth over both the near term and fiscal '22 and longer term in the next several years?
Patrick Brickley: Well, thanks for the question. This is Patrick. We - coming back to the overall program that we're running, we're simplifying our business to focus on the core and our largest growth opportunities. And as we do that, we anticipate we'll be able to drive sustainable growth and operate much more efficiently, which will drive more profitability. And as we exit this year, we still anticipate, for example, Q4 adjusted EBITDA margins in sort of the mid-teens and that's our exit run rate as we head into next year, while continuing to focus on revenue growth. We're a growth-first company. We've got a great market opportunity. We're the leader in the space. We're very differentiated. We're continuing to widen the moat. And so we're investing in growth. We're continuing to hire, but it's much more targeted now. It's much more focused on our largest growth opportunities, while at the same time, we're deemphasizing noncore products. So we haven't spoken about growth expectations for the out years. We're staying focused on 2022 and getting through this evolution. But we think that we're making progress on it and building some momentum in the right traction.
Michael Berg: And a quick follow-up. You guys have about 28% of your business in international markets. What - can you give us some color on the impacts of FX movements and how that's impacted either the results in the quarter or rest of the year guide?
Patrick Brickley: Well, we're still roughly breakeven profitability outside of the U.S. So any FX hits both top and bottom line, and therefore, no news there. And in terms of peer top line, we just don't see enough to make it worthy of calling out. It's certainly in the math and part of our outlook, but we didn't figure as material at the call. Operator, I think we can move to the question.
Operator: Our next question comes from the line of Koji Ikeda with Bank of America. Please go ahead.
Koji Ikeda: Hi, Patrick and Vernon, thanks for taking my question. Just a couple from me. I wanted to ask you kind of a churn question, but more from an employee standpoint as you're kicking off the strategic initiative. How should we be thinking about employee retention, more specifically on sales capacity? How should we be thinking about some QBR retention? And where do you stand on overall capacity from a sales perspective?
Patrick Brickley: Vernon, do you want to take that?
Vernon Irvin: Yes, sure. So like a lot of companies, we are certainly part of the great resignation as a lot of the high-tech companies are experiencing. And we just recently saw a benchmark study from the Gartner Group that says that we're below what the market attrition is experiencing, which is good news from our perspective. But we are actively doing things like career pathing and retention strategies - and it certainly helps to have a strong quarter. People like winning, and we're staying very focused on - or Patrick and I have in early and often communications with our - with the team on a global basis. And we're doing things that I think allowing our workforce to remain flexible from a work-from-home perspective. So again, we're keeping a very close eye on making sure that the people part of the mission is not just for our customers, but for our employees as well.
Koji Ikeda: Got it. And maybe one follow-up for Patrick. I know you guys mentioned quarterly billings, maybe not the best metric. But looking at our model, it looks like Q1 was about 12%. Was - is there anything to call out in that number? How should we be thinking about it? And I guess maybe what are you seeing in terms of the pipeline or bookings trends or any sort of demand out there that's giving you the confidence in that 16% to 17% growth because that does imply somewhat of a second quarter billings reacceleration?
Patrick Brickley: Sure. Yes, any individual quarter's calculations won't be incredibly helpful. They won't necessarily capture the exact underlying trends. We would point for anyone who's going to look at billings, we point to our trailing 12. We'd also point to current RPO. And overall, I think we're - we feel along with the team that we're making steps, we're making progress in the right direction through this evolution. And as we really focus the business and change some of the ways that we go to market and focus on acquisition integration, whether it's from partners or customers, as Vernon mentioned or from the team, we think that we're doing the right things here. It's going to take time, and we anticipate continuing to see indications of progress throughout the year. As you see for the second half of this year, our revenue guidance is sort of mid-teens. And we feel comfortable and confident that we're on track for that and more to come as we go.
Operator: Our next question comes from the line of Parker Lane with Stifel. Please go ahead.
Matthew Kikkert: This is Matthew Kikkert on for Parker. First, to start off, as the EU mandate deadline approaches, what is the pipeline for new deals looking like internationally? Are there any countries in the EU still looking for implementation? Or is your focus kind of shifted to the expand part of your strategy and looking at corporation deals?
Patrick Brickley: Well, I think it's both. But Vernon, I'll hand it over to you to provide any more color.
Vernon Irvin: Yes, sure. So we've seen some success, obviously, with the EU mandate with the - obviously, with the addition of the two carriers in Germany. I will tell you that we are still in pursuit of other opportunities that remain there in the pipeline, and we'll actively continue to do that. And that number is in the low teens. And the other thing that we're looking very closely at as well as a lot of the countries have selected either on LBAS or a cell broadcast technology or front end. So I think there's still an opportunity to upsell, cross-sell some of the additional public warning capabilities to those existing customers. And so we'll keep a close eye of where there's some growth opportunities in our land and expand and network effects as well as continue to pursue a pipeline of other countries that are part of the European country expansion as well as around the world, as we mentioned the win in India. So I would say that we still have an opportunity to again pursue the land and expand with existing public warning customers in Europe as well as continue to pursue it globally with other countries as well.
Operator: Our next question comes from the line of Charlie Erlikh with Baird. Please go ahead, sir.
Charlie Erlikh: Thanks for taking the question guys. I just wanted to ask about the comment, Vernon, I think you made on Latin America and not being a promising opportunity. You had that big win in the quarter, and you said something about using that win to create more wins in that area. Could you just talk a little bit about that?
Vernon Irvin: Sure. Obviously, you know about the Peru win for public warning and now they're still - we have a small team of direct sellers that are in the region, and they are pursuing opportunities, leveraging demand gen and go-to-market to pursue opportunities in the region. We think that LATAM is a strategic part of what we call the Americas, which is Canada, U.S. and Latin America. And I think we'll continue to pursue opportunities both for public safety customers as well as our enterprise customers. So I don't expect it to be a large part of our business, but we do have a presence in Latin America, and we're going to continue to pursue opportunities, both with our direct and indirect channels.
Operator: Our next question comes from the line of Brian Colley with Stephens. Please go ahead, sir.
Brian Colley: Thanks for taking the questions. I was curious if you could provide some color on the timing and magnitude of the revenue you're expecting from the Public Warning wins in Germany? I know you guys previously mentioned the pricing was competitive and you're going to try to say price discipline there. So I'm kind of curious if that deal was less competitive or just how the competitive aspect played into that specific deal?
Patrick Brickley: Yes. Go ahead, Vernon.
Vernon Irvin: Go ahead. Sorry. Please.
Patrick Brickley: Well, I was just going to say price competition continues to apply. It's a very strategic opportunity for us. We've been building our customer presence in Germany, but we found in other geographies that these types of wins can be really impactful to opening doors for us for additional business. And so we're very excited about these, but price compression really does apply. And in terms of getting the technology turned on, we want to be cautious and talking about when we're going to be able to turn this into revenue and at the moment or not considering it in our 2022 guide.
Brian Colley: And can you remind us maybe where the uninvoiced backlog stands today and kind of how that compares to last quarter?
Patrick Brickley: Yes, it's still sort of low 8 digits millions of dollars.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Patrick Brickley for any closing remarks.
Patrick Brickley: Thanks, operator, and thank you all for joining our call today. We look forward to further advancing our position in the market in 2022, and we look forward to speaking with you again. Bye-bye.
Operator: Thank you. The conference has now concluded. Thank you for